Operator: Good morning, welcome to ChampionX Corporation's Second Quarter 2023 Earnings Conference Call. Your host for this morning's call is Byron Pope.  I will now turn the call over to Mr. Pope. You may begin.
Byron Pope : Thank you. Good morning, everyone. With me today are Soma Somasundaram, President and CEO of ChampionX; and Ken Fisher, our Executive Vice President and CFO. During today's call, Soma will share some of our company's highlights. Ken will then discuss our second quarter results and third quarter outlook before turning the call back to Soma for some summary thoughts. We will then open the call for Q&A. During today's call, we will be referring to the slides posted on our website. Let me remind all participants that some of the statements we will be making today are forward-looking. These matters involve risks and uncertainties that could cause material difference in our results from those projected in these statements. Therefore, I refer you to our last 10-K filing and our other SEC filings for a discussion of some of the factors that could cause actual results to differ materially. Our comments today also include non-GAAP financial measures. Additional details on reconciliations to the most directly comparable GAAP financial measures can be found in our second quarter press release, which is available on our website. I will now turn the call over to Soma.
Soma Somasundaram : Thank you, Byron. Good morning, everyone. I would like to welcome our shareholders, employees and analysts to our second quarter 2023 earnings call. Thanks for joining us today. We demonstrated ChampionX's strong execution capabilities in the second quarter as we delivered adjusted EBITDA growth and adjusted EBITDA margin expansion while continuing our robust free cash flow generation and returning capital to our shareholders. I'm grateful for the tireless dedication that our employees demonstrate day in, day out in being consumed advocates for our customers. On Slide #4, we will always begin our earnings call with our corporate vision, purpose and operating philosophy. We work every day to improve the lives of our customers, our employees, our shareholders and our communities. Speaking of our purpose, June 3 marked the 3-year anniversary of our transformational merger, consistent with our purpose of improving lives. As you can see on Slide #5, we celebrated our 3-year anniversary by volunteering over 3,000 hours of service in communities around the world. It is humbling to see our team's commitment to our purpose put into action in such tangible ways. Turning to Slide 6. 1 of our 4 operating principles is being relentless advocates for our customers. We are proud that Energy Point Research and independent customer satisfaction research firm, which surveyed more than 4,000 customers of oilfield products ranked ChampionX first in 6 specific categories, including Production Chemicals and Artificial Lift. This exceptional industry recognition illustrates the strong customer-centric cultural alignment across our organization. We continue to see multiyear constructive outlook for oil and gas industry, driven by increasing energy demand. Our customers continue to focus on maximizing the value of their producing assets in a sustainable and efficient manner. ChampionX's differentiated technology, superior service and global capabilities are well positioned to benefit from this customer demand. At ChampionX, we continue to remain focused on driving profitable growth, margin expansion, strong free cash flow generation and a disciplined and balanced capital allocation, which includes return of capital to shareholders. We consistently achieve this through customer-driven innovations focusing on higher value-added products and services, responsive price management, continuous productivity efforts, effective working capital management and disciplined adherence to our capital allocation framework. This strong execution has resulted in ChampionX achieving 20% adjusted EBITDA margin in the second quarter and returning $349 million of capital to shareholders through dividends and stock repurchases since we began our capital return program in second quarter of 2022. This represents 64% of the free cash flow generated during the same period. Turning to second quarter performance. Our second quarter revenues were unfavorably impacted by shipment delays in Latin America due to customer logistics delay, Canadian wildfires and extended production platform turnarounds in Gulf of Mexico. In addition to the above factors, sequential revenue decline was also impacted by exit of our Russia operations in Q1.  Now we are already seeing expected activity pick up in the month of July as impact of these items received. Our digital revenues grew 4% sequentially and 21% year-over-year. We are seeing continued strong adoption for our fit-for-purpose digital solutions, including our emissions management technologies that drive tangible productivity for our customers and help them achieve their sustainability goals. Ken will take you through the details of our second quarter financial results shortly, but let me first touch on 3 key business highlights, which are shown on Slide #7. First, EBITDA margin expansion. Our laser focus on margin expansion is delivering substantive and sustainable results. Despite experiencing a slight sequential revenue decline in the second quarter, we achieved Q2 adjusted EBITDA margin of 20.1%, which improved by approximately 158 basis points sequentially and 527 basis points year-over-year on continued productivity improvements, pricing realization and strong cost management. This marked the 5th consecutive quarter of sequential improvement in our adjusted EBITDA margin. We expect our adjusted EBITDA margin to further improve in the second half of the year, and we now expect to deliver an exit rate of 21% in the fourth quarter of this year. Second, free cash flow. We delivered another strong free cash flow quarter having generated free cash flow of $89 million, which represents 48% of our adjusted EBITDA. This demonstrates the best-in-class cash flow generating capability of our capital-light portfolio of businesses and illustrates our high degree of confidence in converting at least 50% of EBITDA to free cash flow in 2023 and delivering between 50% to 60% conversion of EBITDA to free cash flow through the cycle. Third, returning capital to shareholders. Our disciplined capital allocation framework is designed to create value for our shareholders. And in the second quarter, we once again delivered on our commitment to return excess cash to our shareholders. In the second quarter, between our regular cash dividends of $17 million and $51 million of share repurchases, we returned 76% of our free cash flow to shareholders. We remain committed to return at least 60% of free cash flow to our shareholders this year and through the cycle. Let me now turn the call over to Ken to discuss our second quarter results and our third quarter outlook.
Ken Fisher: Thank you, Soma. Good morning, and thank you for joining us today. I will be commenting on adjusted EBITDA for sequential and year-over-year comparisons. We believe this metric best reflects the business performance of continuing operations. Our second quarter 2023 revenue was $927 million essentially flat compared to the same period in 2022 and 2% below first quarter revenues. Geographically, year-over-year North America revenues were up 1% while international revenues were down 3%. Sequentially, North America and international revenues were down 2%, respectively. In second quarter, our largest business, Production Chemical Technologies was up 4% over second quarter 2022 and down 3% sequentially due to a number of factors. Specifically, during 1Q, we decided to exit our Russian business, and we no longer recognize any revenues associated with Russia in our financials. Second quarter PCT revenues were also negatively impacted by customer logistics delays in Latin America and extended customer production platform turnarounds in the Gulf of Mexico, and Canadian production shut-ins driven by the wildfires. In July, we have seen PCT revenue spring back to expected levels across key geographies and we expect to deliver solid single-digit sequential growth in the third quarter. Included in our second quarter revenues were $17 million of cross supply sales to Ecolab. These sales declined 25% sequentially and were 53% lower than the prior year period. We do not recognize EBITDA margin on these sales and the associated revenue is allocated to corporate and other in our financial statements. June 3, 2023 was the third anniversary date of our transformative merger. As previously communicated, we expected cross-sales to Ecolab to end by this date and as such, we will no longer report cross-sales in corporate and other. For clarity on ChampionX revenues, on Slide 10, we have included a year-over-year comparison of second quarter revenues. As you can see, 2Q 2022 included $15 million of Russia revenues, $36 million of Ecolab cross sales and $18 million of revenues associated with the low margin RCT product lines we exited during the second quarter of 2022. In 2Q 2023, we had our last Ecolab cross sales. Moving into third quarter, these revenues will not repeat in our financials. Second quarter GAAP net income for the company was $96 million or $0.48 per diluted share versus $64 million in the first quarter and $27 million in the second quarter of 2022. As seat on Slide 11, a ChampionX consolidated adjusted EBITDA in the second quarter was $186 million, up 6% versus the previous quarter and an increase of 35% versus the prior year period. In the second quarter, ChampionX achieved our adjusted EBITDA margin target of 20%, delivering a very strong consolidated adjusted EBITDA margin of 20.1%. This was up 150 basis points sequentially and up 527 basis points over the second quarter of 2022. Our second quarter free cash flow of $89 million reflected strong cash flow from operations and our continued laser focus on working capital management, $89 million free cash flow represented a 48% conversion to free cash flow from EBITDA. Cash from operating activities was $116 million and capital investment was $27 million, net of proceeds from asset sales. Production Chemical Technologies generated second quarter revenue of $574 million down 3% from the first quarter and up 4% year-over-year. Sales were impacted by the previously discussed items, Russia, customer logistics delays in Latin America and the impact of the GoM turnarounds and Canadian wildfires. Segment adjusted EBITDA was $117 million, up 11% sequentially and 49% higher than the second quarter of 2022.  Volume growth, increased selling price and productivity projects drove the year-over-year improvement. Sequentially, we saw a positive impact from raw materials and productivity projects. Segment adjusted EBITDA margin was 20.3%, up 250 basis points sequentially and up 617 basis points from the prior year's period driven by higher selling prices and productivity initiatives noted previously. Moving to Production Automation Technologies. Their second quarter segment revenue of $254 million increased 1% sequentially. Year-over-year revenue was up 5%, driven by volume and higher selling prices. Digital revenues were up 4% sequentially and increased 21% year-over-year. We continue to see increasing customer focus on implementing digital technologies to reduce emissions and drive operational and cost improvements. We expect our future revenues to continue to benefit from this industry trend. PAT second quarter segment adjusted EBITDA was $61 million, up 1% sequentially and up 25% year-over-year. Segment adjusted EBITDA margin was 23.9%, up 11 basis points versus the first quarter and up 387 basis points from the prior year due to higher volumes and selling prices. Drilling Technologies segment revenue was $57 million in the second quarter, flat sequentially and year-over-year. Drilling Technologies delivered segment adjusted EBITDA of $14 million during the second quarter, up $1 million sequentially and down $2.7 million compared to the second quarter of 2022. Segment adjusted EBITDA margin was 25.1% in the quarter, a 134 basis points sequential increase, driven by higher volumes at lower tooling costs. Reservoir Chemical Technologies revenue for the second quarter was $24 million, down 8% sequentially and a 46% decrease year-over-year. As previously discussed, the year-over-year revenue decline was driven by the exit of certain low-margin RCT product lines last year. This exit resulted in lower revenues, but a significant improvement in the margin profile of this segment. The segment posted adjusted EBITDA of $4 million during the second quarter, flat with first quarter and up $4 million versus the corresponding prior year period. Segment margin was 17.7% in the quarter, at 217 basis points sequential improvement and a substantial increase versus the prior year period, driven by the product line exit and related restructuring actions. Moving to our balance sheet. As shown on Slide 12, we again ended the second quarter in a very strong position, with liquidity of $932 million, including available revolver capacity and cash on hand. At June 30, our leverage ratio was 0.5x net debt to adjusted EBITDA. In alignment with our capital allocation framework, we remain committed to the return of surplus capital to our shareholders. During the second quarter, we returned approximately 75% of quarterly free cash flow to shareholders, including $17 million in regular quarterly dividends and $51 million of share repurchases. We remain focused on disciplined capital allocation, delivery of operating and free cash flow, effective working capital management, and maintaining our strong liquidity and financial position to support returning at least 60% of free cash flow to shareholders. As we discussed at our March Investor Day, we continue our strong focus on the disciplined capital allocation and continuous improvement in productivity. As a result of this focus, we continue to improve our Return on Invested Capital or ROIC, targeting 20% plus ROIC for total year 2023. As you can see on Page 13, we are making very good progress. Our trailing 12-month ROIC as of June has improved to 17%, up approximately 400 basis points over the full year 2022 actual ROIC, and we are on track to deliver our target. Turning to Slide 14 and our forward outlook. For third quarter, we expect revenue in the range of $960 million to $990 million. Please recall 2022's third quarter revenues included $15 million of Russia revenue, $6 million of RCT revenues from exited product lines and $34 million of Ecolab cross sales. The third quarter sequential change in revenue is primarily driven by a step-up in chemical sales, principally internationally and continued positive momentum in our North American production-oriented businesses.  As I noted, sales are off to a solid start for the third quarter in July. For adjusted EBITDA, we expect a range of $199 million to $207 million, which at the midpoint represents a 22% increase over third quarter 2022. Again, at the midpoint, this represents an approximately 450 basis point improvement year-over-year in the company's adjusted EBITDA margin rate. We expect our adjusted EBITDA margin rate to continue to improve throughout the year, and we have confidence that we will exit 2023 at an adjusted EBITDA margin rate of 21%. While in periods of revenue growth, we will see the need for some working capital investment, we remain confident in our 50% to 60% free cash flow to adjusted EBITDA conversion ratio guidance through the cycle. For this year, we continue to expect strong free cash flow with a free cash flow to adjusted EBITDA conversion ratio of at least 50%. As a reminder, our free cash flow delivery is weighted towards the second half of the year. Thank you. And now back to Soma.
Soma Somasundaram : Thank you, Ken. Before we open the call to questions, I would like to highlight that as the leading global provider of production optimization solutions for the energy industry, we are uniquely well positioned to help operators meet their objective of maximizing the value of their producing assets in sustainable and cost-effective ways.  We continue to see favorable demand tailwinds in our businesses that support our constructive multiyear outlook for our portfolio. We are focused on delivering solid bottom line growth, adjusted EBITDA margin expansion and strong cash generation. In addition, we are fully committed to creating value for our shareholders through a disciplined capital allocation framework with clear priorities for our capital, including high-return investments and returning cash to shareholders. With that, let me thank all of 7,300 ChampionX employees around the world for their remarkable commitment to our purpose of improving the lives of our customers, our employees, our shareholders and our communities. You inspire me every single day. With that, I would like to open the call for questions.
Operator: [Operator Instructions] Your first question will come from Stephen Gengaro at Stifel.
Stephen Gengaro: Thanks, and good morning, everybody. So I think first on the 2 things to me. I'd start with what are you seeing on the North American land side? And how is that kind of baked into your expectations for the back half of the year?
Soma Somasundaram: Yes. I think being a production focus business, I think we are continuing to see good activity on the production side of the businesses, Steve. So we do expect in the second half, our production-oriented businesses, particularly artificial lift, and production chemicals continued to show some sequential growth in -- particularly in North American land. In Canada, as you know, in the Q2, we experienced those Canadian wildfires, which led to production shut-ins. We are starting to see that recede. And so that should also contribute towards the second half growth. But being in the production-oriented businesses, we continue to see that growth in U.S. land.
Stephen Gengaro: Great. And my other question is around PCT margins. And clearly, you’ve made obviously, very good progress there. But when you look at the second quarter and you called out some of the revenue headwinds from Latin America and the wildfires, was that a drag on margins? I mean, obviously, margins were very strong. But is there any way to think about the impact that, that revenue had on the margin profile in the second quarter?
A –Soma Somasundaram: Yes. I mean I think the – if you look at what is driving our margin in PCT is, first and foremost, our strong price management and followed by our continued productivity effort. And we saw some raw material deflation in the Q1, and we saw a little more in Q2 and we think that, that raw material deflation will remain fairly stable throughout the rest of the year. And that’s all built into our forecast. So I would say, obviously, the volume impact had some incremental margin impact, but I would say that’s not the biggest one. The biggest driver of margin for us in Q2 was the factors I just described.
Operator: Your next question comes from Scott Gruber at Citigroup.
Scott Gruber : I wanted to say on the new drilling tech revenues were up a bit despite a drop in the U.S. rig count. What's your sense around international growth in drill bits and your other technologies? And how do you see that offsetting any risk of inventory destocking in the U.S.? Did you see any inventory destocking in Q2? Is that a risk in 3Q? How do you guys kind of think about those factors in 3Q and 4Q?
Soma Somasundaram: Yes. If you recall, Scott, in the Q1 earnings call, we saw the drilling account already starting to show some decline. And at the time, we mentioned we still believe that we will see some sequential stability or even growth in our drilling technologies because of the new product innovations and the share gains because of the new product innovations. So I would say that was one of the big factors for us in [indiscernible] Drilling Technologies revenues has held up high stability even during this period of declining rig count. The other aspect within our Drilling Technologies that is also helping is the strong growth in the bearings business. We are continuing to see strong growth in the diamond bearings business. So putting this all together, I would say as you look into the second half, we still expect to see some modest growth in -- sequentially in Q3 with our Drilling Technologies. We do expect that the drilling rig count, at least the U.S. drilling rig count should bottom out sometime in Q3 but we expect continued sequential growth, albeit it will be modest in the Drilling Technologies in Q3.
Scott Gruber : Got it. I appreciate the color. And then another question just on sustaining healthy margins into 2024. We get questions around contractual price reset lower since raws have been down this year in the Chemicals segment. Can you walk us through kind of how you think about the potential for contractual resets lower and any efficiency gains that you think that could offset that in terms of helping to sustain that 20% plus margin kind of into next year?
Soma Somasundaram: Yes. Great question, Scott. And as you know, this is an important one for us. So we actively track in our Chemicals business. We actively track all of our contracts, and we know exactly which contracts have what type of a pricing mechanism built into it, and we have talked about this before the index mechanism versus cost plus and what percentage of our contracts has what. So we have a very granular view and a detailed view of contract by contract, how this plays out. And we update that every month to make sure that we understand what will be the index driven or a cost-plus driven pricing changes that is forthcoming in our contracts. So all that element, they are all built into our forecast and guidance, and then offset -- we are continuing to work on our productivity, our continuous improvement projects and the great thing about continuous improvement mindset and the journey we are on is the more we do, the more we find opportunities, right? So the continuous improvement opportunities continue to show up for us. But the pricing element, we actively track those and any forthcoming price changes in Q3 or Q4 is already built into the guidance we are providing.
Scott Gruber : So based upon the trend and the pricing for raws, will most of that already hit before the end of the year?
Soma Somasundaram: Yes. Most of them will be already hit before end of the year because the -- most of the index price context tends to be on an average, I would say, probably 5, 6 months. The cost-plus contracts tends to be monthly, but the index contracts tend to be anywhere between 3 to 6 months, but I would say on an average, I would say, in the 5, 6 months. So based on our forecasted commodity price, as I just mentioned, we see stability in the commodity price as we saw in Q2 into the second half. So based on that, most of that type of pricing changes should happen before end of the year.
Operator: Your next question comes from Marc Bianchi at TD Cowen.
Marc Bianchi : Maybe sticking with some of the pricing stuff, I wanted to get a better understanding of the surcharges that you have in place or that might be going away and how we should think about the interplay with revenue growth and margin on those. I would think that if you have a surcharge with minimal margin and that goes away, that hurts revenue, but it helps percentage margin.
Soma Somasundaram: Yes. The surcharges were not a very big part of our pricing mechanism. As you may recall, Marc, that we did have to do some surcharges in Q2 of last year was when we first did our quick surcharges. And a lot of that was in the -- our PAT segment. And so a lot of those elements have already gone away because a lot of them have got to do with freight, if you recall. So I think surcharges is no longer a major issue for us.
Marc Bianchi : Okay. Great. That makes things a lot simpler. Then in terms of the revenue progression, I'm curious if you could remind us about the seasonality over the end of the year and into the beginning of next year. And I'm wondering if the seasonality benefit would maybe get you to a mid-single digit type growth rate in the fourth quarter and how you're thinking about the '24 broadly. I go back to the Analyst Day, and I think you were talking about kind of a high single-digit growth rate over the next several years. Is that a good placeholder for '24?
Soma Somasundaram: Yes, Marc, if you look at -- we have been on a good growth trajectory. Obviously, in Q2, we had some onetime events and that kind of has some unfavorable impact on the Q2 growth. But we are already seeing the growth trajectory has resumed in as we get into the -- as we are in the month of July, the growth is coming through as expected. And if you look at Q3 we will sequentially, we are around the 5%, a little over 5% sequential growth at the midpoint of our guidance. And we expect all of our segments to grow and the growth charge will be from a geographical perspective, it will be led by international, but we also expect North America to grow. And within international, we expect Latin America to lead the charge, given our delayed shipments, followed by Middle East. So we'll see good growth in the international side. We'll see growth in North America. Now from a segment perspective, we expect strong growth. The charge will be led by PCT followed by PAT and again, both segments will have strong international growth, followed by North American growth as well. So the growth trajectory across segments we continue to see in Q3 and beyond. Now as we walk into Q4, typically, the seasonality for us in Q4, international tends to be stronger in Q4 so which will lead PCT and PAT international business to be strong. And then domestically in the U.S., obviously, the holiday impact, and we typically tend to see that a little bit in PAT and I think Marc, we have talked before. There are periods of time. We see that impact that a period of -- periods of time, we grow through it. So specifically for this year, I think we think we would continue to see similar growth like we saw in Q3, sequential growth in Q3. I think we will see similar growth in Q4, mostly led by the international. So we feel the Q3 to Q4 should be another strong sequential growth for this year. And that all sets up well for us as we walk into 2024 because the fundamentals, business fundamentals of the business still remains very strong. We continue to see energy demand increasing. We continue to see capital spend growing. We continue to see their production complexity increasing. So all that factors sets up well for our 2024 growth.
Marc Bianchi : Super. That's a great summary.
Soma Somasundaram: Absolutely, Marc.
Operator: Your next question comes from David Anderson at Barclays.
David Anderson : Just think about the Middle East a little bit. I'm just sort of thinking back on your PCT business and obviously, production related, so kind of where are we thinking about volumes growing over the next 2, 3, 4 years, thinking about Middle East, Middle East capacity expansion as that's coming on. I just wanted to understand a little bit more how you're seeing that playing out on the chemical side. But coming on at '26-ish, do you need to build out capacity in front of that? I mean do you have to start thinking about supply chain? How do you sort of think about growth that's coming like that? And I'm assuming those contracts have yet been tendered. I haven't -- don't recall seeing anything on that? If you could maybe just kind of give me your view on how this market plays out over the next few years?
Soma Somasundaram: Yes, definitely, over the next coming years, we see continued growth in Middle East, Latin America as all these capital investments continue to drive significant production growth as well as the complexity growth, which is what we are seeing, especially in places like Latin America, even in Middle East, as you think about fields like Jafura, which have very high level of production complexity. So we see that continuing to grow and same in offshore. Think about all the offshore investments that are going on. And as you know, we generate a big part of our revenues as these offshore platforms and the tiebacks come online to produce. What we are seeing now the big expense in offshore, particularly in the drilling and well construction side, they are all going to translate eventually for us strong growth in offshore. And as we have shown before in the Investor Day, the offshore growth is a long structural growth for us even when -- as the fluids continue to grow, it's a long structural growth. So we are excited about the long-term growth trajectory, particularly for our continued production chemicals and artificial lift businesses. Now in terms of capacity, we have been very, very -- our teams have done a great job in looking at how do we continue to look at capacity utilization, debottlenecking and what we need to make inside, what we need to buy. So based on all the projections we have and the capacities we already have, we don't see a need for us to build any more capacity. I think we have plenty of plans in place to continue to meet the demand without having to build any more capacity. And that's what gives us confidence, Dave, in continued capital return to our shareholders. So we feel really good about where we are.
David Anderson : Really interesting. If I can shift over to PAT and also talk about the international side of that business. Now I can't recall -- I thought in my notes, what percentage is international, but I know it's considerably smaller. I was just wondering if you could talk about the opportunities you grow on the lift side. Lift has been -- and the Middle East been brought several times this quarter. Is this an area you need to get bigger in? And we were talking about revenue synergies with ChampionX and sort of the footprint and utilizing that. Can you talk about how that's gone? And maybe what are some of the other ways you're thinking about growing the international side of PAT?
Soma Somasundaram: Yes. So if you think about -- just to the PAT International is roughly about -- today, it's running about between 20% to 22%. That's outside of North America. So that's the PAT. And as we have discussed, that's where our biggest opportunities come for PAT in terms of that international growth. And if you look at it in second quarter, PAT grew very nicely internationally and then we expect another strong growth again in Q3 for PAT internationally. And the biggest areas of growth for us in PAT internationally is in Middle East and Latin America. And we have talked before about our ESP product line. Today, our ESP product line have 0 revenues internationally, and we have been working on plans to expand that internationally. So you should see in the coming years that business contributing as we expand our ESP business internationally. Going back to the revenue synergies, this is -- as you know, we have been focused on this, and we have been kind of disclosing our incremental revenue synergy awards as part of our first quarter call, what we achieved every year. And I think if you recall, last year, we achieved $45 million in incremental revenue synergies. And this year, we are targeting in the Investor Day, we talked about -- we are targeting about $60 million of it and a good portion of that is related to the PAT international growth, leveraging our chemicals footprint.
Operator: Your next question comes from Doug Becker at Capital One.
Doug Becker : So I wanted to get your thoughts on how do you see the revenue being recovered from these transitory issues in the second quarter and really thinking about next year, some of your commentary suggested maybe we're at the higher end of high single-digit growth, so maybe 8%, 9% revenue growth as opposed to say 7%, 8%?
Soma Somasundaram: So Doug, on the revenue recovery going back to Q2, I think if you look at the 3 elements, particularly the delayed shipments, obviously, we will recover. So that's about that $13 million of delayed shipments that we will recover. But with respect to the Canadian wildfire and the extended turnaround times in Gulf of Mexico, those are production shut-ins -- so those normally, you don't recover in the subsequent quarters. Obviously, over a period of time, you will recover as those productions are being produced. So I would say that in the recovery side, built into our Q3 sequential growth is only there from a recovery side, only the delayed shipments. That's the only thing which is built into our Q3. Now going into 2024, we are not today providing guidance for that. But we do think that the Q3, Q4 I think we'll continue to see good sequential growth, and that should set us up well for 2024. And we'll wait and see how markets evolve by that time. But I think the fundamentals remain strong. Our teams are executing well. So I think I'm confident 2024 will be another good growth year for us.
Doug Becker : Makes sense. And then maybe one of a housekeeping nature. Just like the working capital management was very strong in the quarter. Are there any particular drivers to call out? And particularly, I'm thinking about cash taxes, which my understanding is tend to typically hit in the first half of the year, but still very good working capital management or just cash flow generation. Just anything to call out in the second quarter cash flow?
Soma Somasundaram: So thank you, Doug. I appreciate your comment. Our teams are really executing well on that. Let me turn it over to Ken, and maybe he can talk a little bit about the specifics around the working capital.
Ken Fisher: Sure, Doug. Yes. Second quarter typically is a little lighter on cash flow, primarily driven by tax payments, and we did have the typical second quarter tax payments, including some international payments. In terms of working capital, we remain very focused on all elements of working capital, we've continued to work on supplier term side as the companies become in a sense, better known coming out of the merger, people weren't sure exactly what ChampionX was now they know what we are. Our credit position is very strong. So suppliers are willing to extend terms to which has been very helpful. And then we're very focused on daily collections in terms of what's our entitlement to go and collect cash from customers. And so we've improved the linearity of our collections and reduce the amount of past dues. So about a past dues beyond a certain date have come down pretty dramatically. So those 2 things have been in a sense, structural improvements to our working capital position. And then we continue to work hard on inventories and strengthening the whole disciplines our sales and operational planning processes. So we're working all elements of working capital, and it's paid off, and I think it will continue to pay off as we move forward.
Operator: [Operator Instructions] Your next question will come from Ati Modak at Goldman Sachs.
Ati Modak : Good morning. Soma, any color you can provide on the variance between Street expectations and guidance for 3Q on revenue. What do you think that the Street is maybe miscalibrating here and needs to calibrate better?
Soma Somasundaram: Look, I can't specifically talk about what's built into the Street's model. But my estimate would be that, I think, obviously, we had some unfavorable impact in Q2, right? So as that base is a little bit lower. But I also think that some of the restructuring efforts and how they exit of some of the RCT type product lines, the Russia exit, the impact of the Russia exit. And I think those may or may not have been fully understood. So I think that's one of the reasons we put that slide in the slide deck to provide full visibility of the 3 elements that Russia exits, the cross-sales as well as the exiting this low-margin product lines. So I think partly, I feel that could have been one of the issues that may be contributing to the difference in the guidance as well. So I would say those are the combination, lower base in Q2 and then these revenues the exit of these businesses.
Ati Modak : Okay. That's helpful. And then you mentioned some pricing momentum in the second half of the year for PCT. Investor Day expectations, I guess, was for a 30% incremental margins, which would have implied that 21% doesn't really happen in '23, but not updated guidance is for 21%. So what I'm thinking is investor questions tend to be how much more upside there is. So how should we think about that incremental margin expectation going forward on a normalized basis? Should it be clearly higher than 30% now?
Soma Somasundaram: I would say -- as I mentioned, I mean, thanks to our team's execution. We are executing well on productivity efforts and good disciplined price management and so on and so forth. But I would say going forward, on a normalized basis, I think 30% is a good incremental margin number for the totality of ChampionX. As we have talked before, the incremental margins vary by segment with the Drilling Technologies being a higher incremental margin segment. But in totality, ChampionX, I think a 30% incremental margin is a good way to think about it.
Operator: We have no further questions from the phone lines. So at this time, I will turn the conference back to Soma for any closing remarks.
Soma Somasundaram : Well, thank you. Thanks for joining our call today and your continued interest in ChampionX. We look forward to talking to you again in our next quarter call. So thank you, and have a great day.
Operator: Ladies and gentlemen, this does conclude your conference call for this morning. We would like to thank everyone for participating and ask you to please disconnect your lines.